Operator: Welcome to the Flexsteel Industries, Incorporated Fiscal Year 2013 Operating Results Conference Call. At this time, I will turn the call over to Mr. Tim Hall, Flexsteel's Senior Vice President of Finance and Chief Financial Officer. You may begin.
Timothy E. Hall: Thank you, Adam. And good morning and welcome to our conference call. We appreciate your participation. Joining me this morning is Ms. Karel Czanderna, our President and Chief Executive Officer. We may make forward-looking statements during this call. While these statements reflect our best judgment at the present time, they are subject to risk and uncertainties, as described in our SEC filings. Accordingly, our actual results may differ materially from our current expectations. We undertake no obligation to update any forward-looking statements made during this call. I will now review some of the items from our fiscal year 2013 operating results. During the fiscal year ended June 30, 2013, our net sales increased 9.7%. For the fiscal year -- for the fiscal quarter ended June 30, 2013, our net sales increased 8.6% to $102 million. On a consecutive quarter basis, our net sales increased 3.7%. While we are pleased to announce the increase in net sales, we are also pleased to report that our accounts receivables decreased by approximately $1 million from the March 2013 quarter. Over the last 3 fiscal years, the average days sales in accounts receivable has decreased from 42 days to 37 days to 36 days for fiscal year 2013. Reflecting this improvement, we have lowered our allowance for doubtful accounts by $300,000 as of June 30, 2013. A significant portion of the increase in our net sales was achieved by investing in additional inventory. During fiscal year 2013, as we increased our sales with existing customers and added customers, we also expanded our product portfolio. Inventories increased in areas that are delivering growth, primarily Ready-to-Assemble and upholstered products. As reported in our press release, the cost of our self-insured health and workers' compensation programs increased by $1.5 million. We actively manage these programs and purchase appropriate stop-loss coverage. However, this is a business risk that we accepted, and it has served us well over the years. We expect there will be fluctuations in these expenses moving forward. We are experiencing raw material and labor cost increases, and we'll adjust our pricing as necessary while continuing to maintain a portfolio of competitively priced products that create values for our customers. The reported gross margin for fiscal year 2013 was 23.4% and was 24.2% in fiscal year 2012, the highest and second-highest in at least the last 10 years. The 5-year average gross margin is 22.5%, indicating that we are performing at a high level. For fiscal year 2013, selling, general and administrative expenses were 18.2% of net sales compared to 18.4% in the prior fiscal year. The current year results include $1.3 million or $0.11 per share of executive transition costs. We do not expect these costs to repeat in fiscal year 2014. Excluding these costs, our SG&A expense was 17.8% of net sales for the current fiscal year. SG&A costs also include $2.3 million for fiscal year 2013 and $2.4 million in fiscal year 2012 of expense related to the Indiana civil litigation, as disclosed in our previous filings. The 5-year average of SG&A expense is 18.1%. Fiscal year 2013 increased by $100,000 to $13.2 million, the highest net income ever reported for our company. During the fiscal year and the quarter ended June 30, 2013, the number of outstanding fully diluted shares increased by 318,000 and 212,000, respectively. This is a result of shares issued on the exercise of stock options and the impact of a 23% stock trading price increase on outstanding options. Diluted earnings per share were $1.80 for fiscal year 2013 and $1.86 for fiscal year 2012. For the quarter ended June 30, 2013, diluted earnings per share were $0.57 and $0.61 for the previous year quarter. Dividends during fiscal year 2013 increased 33% to $0.60 per share. During fiscal year 2013, 4 executive officers retired. Two were directors and will continue to serve in that capacity. As a result of the retirements, during fiscal year 2014, we will distribute approximately $3.3 million in supplemental retirement benefits. These distributions will be made out of our Rabbi Trust assets, not out of our operating cash. We have increased our current assets and liabilities and decreased our long-term assets and liabilities to reflect these anticipated distributions. Fiscal year capital expenditures totaled $6.2 million. Estimated capital expenditures for fiscal year 2014 are $4.5 million. The expenditures in fiscal year 2014 will be primarily for delivery and manufacturing equipment and for IT infrastructure enhancements. Depreciation expense was $3.8 million for fiscal 2013, and we estimate that it will be $4.5 million for fiscal year 2014. Our balance sheet remains strong. Working capital is $114 million at June 30, 2014, and we have no bank borrowings. Cash decreased by $3 million during the fiscal year. We believe that our cash balance of $11 million is adequate to support our operations and that borrowings will not be necessary. I will now turn the call over to Karel for her comments and business review.
Karel K. Czanderna: Well, good morning, and thank you for joining our conference call. During the fiscal year 2013, net income increased 0.6% from the same period a year ago. The reported income includes executive transition costs of $1.3 million, which reduced net income by 6.3%. This is our third consecutive year of earnings growth, driven by ongoing double-digit revenue growth in upholstered seating and Ready-to-Assemble products for the residential market. The summer Las Vegas Furniture Market participation was similar to 2012, reflecting tepid market growth. We had solid traffic from our retailers to test drive our products and meet with our sales team from across the U.S. The wide variety of fabric introductions we launched at the April High Point North Carolina Market are meeting designers' desires to provide custom-upholstered products in today's fashion colors and premium finishes. Upholstered products continue to outperform traditional case goods. We still benefit from an expanding customer base, serving both retail and online residential markets, as well as growth from new and existing products with current customers. Our product portfolio and service platforms are evolving to meet the changing needs of the commercial markets and our customers. For example, while unit sales of RV Class A and C motor homes are resurging, up over 30% in the last 6 months, the trend is to smaller, less expensive motor homes and, therefore, fewer, more multi-use furniture pieces. There is an uptick in hospitality remodeling and growth in a variety of healthcare markets. We have served the Senior Living market for a number of years, and product solutions are evolving to offer the comfort of home furnishings with the appropriate safety and care requirements for an aging population. Looking forward, less economic uncertainty will enhance business owner and consumer confidence to further enable growth in the furniture industry. The corporate order backlog remains strong at $43.3 million on June 30 and is continuing into our first fiscal quarter. The June 30 backlog of orders at our 6 North American manufacturing plants supplying upholstered, wood and metal products increased 26% in fiscal year '13 versus the prior year. The company is in a good position to produce quality products to meet all of our customers' growing demand. Our team remains focused on providing a broad portfolio of quality products with knowledgeable customer service to enable our customers to grow across all the markets we serve. At this time, please open the phone lines for questions, then I will wrap up.
Operator: [Operator Instructions] And we have no participants queuing up for questions at this time.
Karel K. Czanderna: Thank you for participating in our conference call today. We're pleased with the growth of our business and the solid operating results during fiscal year 2013. Our team remains focused on creating value for our customers and our shareholders. We look forward to reviewing our first quarter operating results with you in October 2013. We appreciate your interest in Flexsteel.
Operator: This concludes today's conference call. You may now disconnect.